Operator: Good day and welcome to the Oxford Industries Incorporated First Quarter 2015 Conference Call. Today's conference is being recorded. At this time, I’d like to turn the conference over to Ms. Anne Shoemaker. Please go ahead, ma'am.
Anne Shoemaker: Thank you, Blake, and good afternoon everyone. Before we begin, I would like to remind participants that certain statements made on today's call and in the Q&A session may constitute forward-looking statements within the meaning of the federal securities laws. Forward-looking statements are not guarantees and actual results may differ materially from those expressed or implied in the forward-looking statements. Important factors that could cause actual results of operations or our financial condition to differ are discussed in our press release issued earlier today, and in documents filed by us with the SEC, including the risk factors contained in our fiscal 2014 Form 10-K. We undertake no duty to update any forward-looking statements. During this call, we will be discussing certain non-GAAP financial measures. You can find a reconciliation of GAAP financial measures to certain non-GAAP financial measures in our press release issued earlier today, which is posted under the Investor Relations tab of our web site at oxfordinc.com. Please note that all financial results and outlook information discussed on this call unless otherwise noted are from continuing operation and all earnings per share amount are on a diluted basis. As a remainder in March we announced that we are pursuing a sale of the Ben Sherman business, therefore the results from the Ben Sherman business are now reflected as discontinued operations for all periods presented. And now, I'd like to introduce today's call participants. With me today are Tom Chubb, CEO and President; Scott Grassmyer, CFO; Terry Pillow, CEO of Tommy Bahama; and Doug Wood, President of Tommy Bahama. Thank you for your attention; and now I'd like to turn the call over to Tom Chubb.
Thomas Chubb: Good afternoon and thank you for joining us. I’m very pleased with our first quarter results which exceeded the prior year and our forecast for the quarter. On the heels of what is a very good start to the year, we have increased our 2015 earnings guidance. This performance and our confidence in the future flows directly from our strategy of owning and growing strong lifestyle brands that make an emotional connection to our consumers. As Terry will discuss in more detail, Tommy Bahama had a solid first quarter. The brand’s relaxed island lifestyle continues to resonate well with consumers. Our 9% topline growth was fueled by an 8% comp increase as well as solid performances by stores opened during 2014. This included our retail restaurant in Jupiter, Florida which beautifully reinforces the brands image and has clearly struck a chord with the consumer. The passion, enthusiasm and emotion exhibited from Lilly lovers this spring was clear. We had an incredibly strong spring offering in our stores and online. In addition, our collaboration with target and the capsule collection it featured wildly exceeded expectations and was a great way to generate a lot of consumer awareness and excitement across the whole country. So put it all together and in the quarter we saw an extraordinary 20% comp increase while expanding both gross margin and operating margins. We believe targets extensive national media campaign, elevated imagery, social media innovations and spot-on product went a long way in reinforcing Lilly Pulitzer as the resort chic brand. We will be following up with additional marketing initiatives to drive home Lilly’s resort chic positioning including a fashion presentation of the 2015, 2016 resort line in New York, a seaplane wrapped in Lilly print, junketing fashion influencers and editors between New York and Nantucket, gift with purchase events, emphasizing resort travel and a non-comp mailer to support an extended summer selling season. Basically the message is, if you’re going summer fun and beautiful like Palm Beach, Palm Desert, Cape Cod, St. Barts are wherever your sunny places you want Lilly in your suitcase. We frequently point out that one of the key concepts to at delivering a truly Omni channel experience to the consumer for any brand is viewing the consumer as the ultimate point of sale. We then make the brand and the product accessible whenever and wherever the consumer wants them. For Lilly, eCommerce makes up 28% of net sales a very significant online business. Lilly took another big step forward last week with the launch of its mobile app, which gives our customers a fantastic way to shop, share and learn more about Lilly. This app also contains exclusive content about Lilly’s authentic brand heritage makes it easy to share looks good friends, and peruse products specifically by print. This app is one more step in the positioning of our customer as the point of sale. I will turn the call over Terry Pillow to discuss Tommy Bahama’s solid first quarter results and their plans for the second quarter. Terry?
Terry Pillow: Thanks, Tom. We were pleased with our first quarter results and so our year-over-year growth on both the top and bottom line. [Audio Gap] business in all channels of distribution. In addition into the solid 8% comp increase in the quarter, we also saw the strong performances in our non-comp stores. As Tom, mentioned our Jupiter, Florida retail restaurant location which we opened in November has come out of the gate very strong, has exceeding our plans. While, we have historically been very strong in Southwest Florida with our locations like Naples and Sarasota, Jupiter gives us our first retail restaurant location on the East Coast of Florida. As you may be aware Jupiter is a very fluent community in Palm Beach County and its popular second home destination for people from the Northeast and other parts of the country. As always, a strong Father’s Day is key to our second quarter results. This year Father’s Day is not until June 21, so we still have a lot important selling days ahead of us. Tommy Bahama is the go to brand for Father’s Day and we are excited about our plans on this very important holiday for our business. We’ve got a strong marketing campaign with a fantastic gift guide included in our summer mailer. The next week and half are exciting and important days for us. We look forward to updating you with our 2Q results in September. I’ll now turn the call over to Scott Grassmyer to discuss our consolidated highlights and plans for the rest of the year. Scott?
Scott Grassmyer: Thanks, Terry. I would like to walk you through a selection of highlights from our consolidated results for the first quarter of fiscal 2015. Please refer to our press release issued earlier today for the complete results for the first quarter. As Tom mentioned Lilly Pulitzer had a remarkable first quarter which coupled with a solid performance at Tommy Bahama to our results for consolidate sales increasing 7%. Our adjusted gross margin expanded 124 basis points primarily due to shift in sales mix. Lilly Pulitzer’s gross margin expanded over 200 basis points in the quarter, reflecting a greater proportion of sales coming from their direct consumer businesses. We saw SG&A grow at a pace slightly higher than our sales growth percentage as we incur the cost of operating additional Tom and Lilly stores and as we continue to make a important investments in the infrastructure of these two brands. Royalty and other income increased $500,000 in the quarter with strong contributions from Tommy Bahama, furniture, fragrance licensees as well as the seasonal Beach products. Our consolidated operating margin as adjusted in the first quarter was 13.7% compared to 13.8% in the prior year period. For the first quarter fiscal 2015 interest expense declined to $800,000 from a $1 million last year. Our effected tax rate in the quarter also declined to 38.6% from 40% in the same period of the prior year, reflecting higher domestic earnings and lower international losses. Adjusted EPS was 9% to $1.30 are ahead of previously issued guidance. GAAP EPS increased 11% to $1.29. Now to the balance sheet, we ended the first quarter with inventory of $114 million compared to $106 million at the end of the first quarter of fiscal 2014. We believe our inventory is in an appropriate level to support anticipated sales growth. Our capital structure is well positioned to support growth. As of May 2, 2015, we had a $131 million of borrowings outstanding and $99 million of unused availability under our U.S. revolving credit facility and a weighted average borrowing rate of 1.8%. Our capital expenditures for the first quarter of fiscal 2015 were $12 million and we expect CapEx for the year to be approximately $70 million. In addition to our typical investments in retail stores and IT, I’d like to remind you of three significant investments we'll be making this year. Tommy Bahama will move into new leased office space in Seattle and will open a retail restaurant location in Waikiki and Lilly Pulitzer will require additional distribution space. Note that up to $70 million will record as capital expenditures approximately $13 million will be funded by landlords through tenant improvement allowances. And looking forward with our strong start of the year we’re pleased to raise our full year guidance. For fiscal 2015, we now expect net sales of $970 million to $985 million. Adjusted earnings per share expected to be between $3.50 and $3.65 and GAAP earnings per share are expected to be in a range of $3.41 to $3.56. On a comparable basis, fiscal 2014 net sales are $920 million. Adjusted EPS was $3.46 and GAAP EPS was $3.27. For the second quarter, which ends on August 1, we anticipate net sales in a range from $245 million to $255 million compared to net sales of $228 million in the second quarter of 2014. Adjusted earnings per share are expected to be in the range by $1.15 to $1.25 and GAAP earnings per share in the range by $1.13 to $1.23. This compares with second quarter fiscal 2014 adjusted EPS of a $1.07 and GAAP EPS by $1.05. The exceptionally strong momentum in our Lilly Pulitzer business is the primary driver behind our expected year-over-year increase in the second quarter. We expect our third quarter is continued to be the smallest quarter of the year reflecting the seasonality of the Tommy Bahama and Lilly Pulitzer businesses. This along with the meaningful fixed expense structure of the business leads to significant lower results compared to other quarters. On fiscal 2015, the third quarter will also bear the brunt of cost associated with the relocation of the new leased space for Tommy Bahama as well as the Waikiki retail restaurant location. As a result we expect to report a modest loss in the third quarter. Our fourth quarter is planned to be strong with year-over-year increases in both top and bottom lines. Thank you for your attention this afternoon. Blake, we’re now ready for questions.
Operator: Thank you, sir. [Operator Instructions] And we will take our first question from Ed Yruma at KeyBanc Capital Markets. Please go ahead.
Ed Yruma: Hi, good afternoon, and congratulations on a very strong quarter.
Thomas Chubb: Thanks Ed.
Ed Yruma: I guess, first on Lilly, obviously extraordinary performance there, particularly in light of the very difficult compare. I was wondering if you could talk a little bit about the performance at Lilly, kind of before the Target promotion and after and kind of if you have seen in that kind of consistency flow through after quarter end?
Thomas Chubb: Yeah, we’ll talk about that Ed into -- we started out the quarter a little bit soft. February was not the strongest month of the quarter. As we moved into March particularly the second half of March business really started to pickup and then has really been quite strong since that I think some of that has to do with the target collaboration that was on April 19 and all the buzz and media attention that we got out of that, but frankly a lot of that I think has to do with the strength of the product that we had on the floor do have on the floor now. As well as the strength and the clarity of the other marketing messages that we're sending out. So no doubt the target collaboration helped that I think we would have had a good strong quarter even in the absence of that and again to your point against what was the tough compare because we had a very strong first quarter last year as well.
Ed Yruma: Great. And some other quick housekeeping questions. I guess, any update on Ben Sherman? The tax rate I know, I think changed a little bit. I think you were looking for 39% before you're now looking for 38%. Is this kind of the tax rate we should look for going forward? And then finally, I think the spread between the comp and sales growth at Tommy was the narrowest it’s been in some time, is there anything that drove that? Thank you.
Thomas Chubb: Well I’m going to start with the Ben Sherman situation and I’ll tell you the same thing that we’ve been saying, we’ve launched a process on March 26 really with our announcement but at the time we announced, we were literally ready to go. So we’ve been running the process quite hard since then. We’re very pleased with the level of the interest that we’ve had in the Ben Sherman business and brand in the number, in the quality of the potential buyers that we’ve had and we’re pleased with the progress that we’re making and we’ll continue to keep you updated on it. With regard to the Tommy, the spread between the comp and the overall growth rate, I think it’s fundamentally a matter of arithmetic in the fact that the wholesale business is basically flat at this point and so the growth in the business is coming from that portion of the business that’s comp retail plus the non-comp retail and it’s really just arithmetic and on the tax rate, I’ll let Scott comment on that as well as elaborate on the Tommy growth rates if he wants to?
Scott Grassmyer: Yes, the tax rate 38.6% for the quarter, that’s pretty indicative of what we expect for the year. So a bit lower than last year as the domestic earnings increased and the international losses decreased.
Thomas Chubb: Did we get all your questions there, Ed?
Scott Grassmyer: We did.
Ed Yruma: Okay. Great, thanks very much guys.
Thomas Chubb: Okay. Thanks a lot.
Operator: Thank you. And we’ll go next to Rick Patel with Stephens Incorporated.
Rick Patel: Good afternoon everyone. And I’ll add my congrats on a terrific quarter.
Thomas Chubb: Thanks Rick.
Rick Patel: Could you talk about the performance of Lilly on the West Coast and other markets where you don’t have physical store locations, did you see a meaningful uptick in business over there? And just in terms of the success that you had at launching at Target, can you talk about what it means for Lilly from a wholesale perspective, to what extent did the Target initiative excite your other wholesale accounts and have you seen an uptick in that business since the Target initiative ended?
Thomas Chubb: Well the short answer is this spring we’re sort of seeing an uptick in all of our business. So all parts of the country, so while we have seen stronger business in some of the areas where we don’t have a physical presence, we’ve also seen uplift in the areas where we do have a physical presence and we have clearly brought some new customers into the brand, but we’ve also reengaged old customers, who maybe hadn’t seen us in a while and excited existing customers and compelled them to come back for additional visits and additional purchases. So it’s really been positive all the way around and then just to keep the Target collaboration in perspective, while it was a huge event and it was viably successful, we do think it’s only one piece of the puzzle. We think we also have, we’ve got beautiful distribution with our own stores, our eCommerce and our great wholesale partners, we’ve got fantastic product. I think the product that we’ve had out there recently and have now is as strong as I ever remember seeing it and then we think our marketing messages have been very strong and very clear as well sort of driving home that resort seek message. So you add all that together and it creates a lot of strength in the business not just in our own channels of distribution, but our wholesale customers are having good years as well.
Rick Patel: Great. And then can you also provide some details on the outlook for expenses just for modeling purposes, perhaps talk about how much of the headquarter move and the new restaurant will add to expenses for the year and within that context how much of those expenses will hit the third quarter versus the other one?
Thomas Chubb: Okay. I’m going to let Mr. Grassmyer fill that one.
Scott Grassmyer: We’re expecting roughly $2.2 million for the Waikiki preopening cost and for the Seattle office move, the occupancy expense we’re expecting to be about $2.6 million higher year-over-year, so together about $4.8 million. Third quarter is going to get about $2.9 million of that’s going to be in the third quarter. So third quarter is taking a big piece of it, third quarter is when Waikiki actually -- they’re actually hiring the staff and doing all the preopening training happens in that quarter in addition to the rent going through for the whole quarter and the Tommy Bahama lease they’re going to have appeared where they will have a double rent from both the old location, new location plus again the physical moving cost. So third quarter gets it heavily from both of those.
Rick Patel: Great and just one more if I may on Tommy Bahama women’s how did that perform during the quarter and perhaps update us on that opportunity?
Thomas Chubb: Well Rick we continue to believe that Tommy Bahama women's is a great long-term growth vehicle for the company and there is a lot of effort and resources that are going in to try and capitalize on that, we succeeded in growing that business significantly over the last five years where it’s gone from being I think about 16% or 17% of the total Tommy Bahama business to 25% or 26%. So it’s grown significantly in proportion to the total at a time when men’s was growing too and bottom line has grown about twice as fast as the men’s business has. So we continue to be excited about that and I’ll maybe let Terry chime in with some of the things we’ve done on the team to try to build that effort over the longer term as well.
Terry Pillow: Rick we still considered women’s business one of the biggest opportunity we have in the brand. We just successfully we just hired a new Head of Design, we got that transition in place. We've moved social business in to Seattle where we get synergies, so we get our real hands around it, and we’ve got to take a look at – it’s looking great and we saw growth in Q1 which your question was. So we're very happy and in the long-term we see it a significant growth vehicle at our woman's business.
Rick Patel: Great thanks for all the details.
Terry Pillow: Thanks a lot Rick.
Operator: Thank you. [Operator Instructions] We’ll go next to Eric Beder with Wunderlich.
Eric Beder: Good morning. Let me add my congratulations.
Thomas Chubb: Thanks a lot, Eric.
Eric Beder: Thanks. Could you talk a little bit about Tommy Bahama International we're seeing there and how should we think about the Waikiki opening in terms of its ability to help the international business?
Thomas Chubb: Well I think the story overall on international really hasn’t changed from what we said back in March and that’s that we expect about a $1.5 million improvement in the operating loss this year. We continue to be very pleased with the way our Canadian business is performing which we don’t report in international. We report as part of North America, but it’s in fact part of the overall international effort. We’re pleased with Australia. We’re pleased with the Middle East, Asia being Japan and some of the other markets as where we’ve got a bit of work to do still and as you know we’re very much focusing in on Japan as being the key market where we see a long-term opportunity. So it’s really the same thing that we’ve been telling you for a couple of quarters now and we’re working very hard on improving the Japanese business. Doug was just over there I think week before last and maybe he wants to add a little bit of color to what he is seeing in Japan.
Doug Wood: This is Doug. So I guess the exciting thing that we’re seeing is the same type of guest reaction to the brand with regards to the restaurant and retail store where people are buying product in the retail store and rent it back to the restaurant we’re seeing also in Japan. The Waikiki opening is really critical for us from a marketing effort if we could go back, I would love to had Waikiki opened two years ago and it has everything to do with the fact that somewhere between 1.2 to 1.5 million Japanese travel to Waikiki on an annual basis and it’s really a four to six block area of Waikiki that they go to and right in the middle of it we’ve got this wonderful retail store and restaurants that we’re about ready to open and it’s really -- our business model is not just to attract the folks in the States, but also speak directly with the Japanese in that market.
Eric Beder: Great. Thank you.
Thomas Chubb: Thanks.
Eric Beder: In terms of Lilly Pulitzer you've obviously having great results, got the products really right. What should we think about in terms of still rollouts this year and going forward? Is there the opportunity to really kind of ramp up this and where are we in the stores and where should we think about this going you may have strong results continue to be?
Thomas Chubb: Well we’ve got 30 stores open right now. The plan for this year is and it has been to open six. Of that we’ve got two open already. So we’ve got four more to go. Really happy with the two that we got open. One is a small sort of resort store in Kiawah Island, South Carolina in a great location, small store, but a great place for the brand. And the second one is in the Green Hills Mall outside of Nashville, which has gotten off to a terrific start in a market that you would think would be a good Lilly market and it’s turning out to be very much and then we got four more coming through the rest of the year. I would point out Eric that we’re growing very rapidly in eCommerce as well and have a lot of exciting things going on there including the launch of the app last week which we think is just terrific and as you think about longer term growth, I would encourage you to think about the growth of the total direct to consumer business not just the store count. So as we’re developing those growth plans, we’re putting a pretty high priority on not the store count growth but eCommerce growth. We do have one exciting opening -- well all the remaining openings this year are exciting, but one key one is in Chicago, which is sort of a new market for us. It’s a little bit further west and than our sweet spot has historically been but given the amount of traffic that we see in some of our West Coast, Florida stores that’s coming down from the Mid-West and some of the other indicators we think that’s going to be a really good store for us.
Eric Beder: Okay. And let me throw in just one more, the smaller Tommy Bahama I believe the resort stores they are called, how are those dealing and kind of how do those actually change your thought process for Tommy Bahama store openings, thank you.
Thomas Chubb: Well I’ll let Doug maybe add some color to this in a minute, but I would say we’ve been pleased with what we’ve seen in from our perspective they give us a whole lot opportunity to fill in a lot of nooks and crannies that we think and work for our brand in our ability to adapt our store format to smaller and more unique markets because we don’t really roll out cookie cutter stores, we think we can do that successfully and we think it gives us a lot of great opportunities. Doug you want to?
Doug Wood: I think you hit on it. We've opened a couple this year, but we’ve had these size of stores in our portfolio and in the U.S. but also if you look at several we have in Australia, so it’s really about giving the right seasonal products into those markets at the right time and given our strength with swim both in men’s and women’s and just overall that relaxed product really works in resort.
Eric Beder: Great. Thank you again and congratulations.
A – Doug Wood: Thank you, Eric.
Thomas Chubb: Thanks a lot, Eric.
Operator: Thank you. And we’ll take our final question today from Pam Quintiliano with SunTrust. Please go ahead.
Pam Quintiliano: Great. Thanks so much and congrats guys on really outstanding results in such a challenging environment.
Thomas Chubb: Thanks Pam.
Pam Quintiliano: So I had a few questions for you guys. I guess starting with Lilly. Tom you spoke in the beginning about some of these new initiatives like fashion presentation in New York and seaplane and just how are we supposed to think about that the cost of the -- just what made you decide now is the time to seize the opportunities to do that? And then also thinking about target just any learning’s that they shared with you that maybe help change your thoughts on potential new store locations or product expansions I know I saw all the women timing over your household products the day of the launch and how much those are going for any day along with everything else, but just how we should think about that?
Thomas Chubb: Yeah, well starting with the first thing the marketing initiatives if you think back through that list I read through so the fashion presentation of the New York of the 2015 and 2016 resort line than taking the fashion influence source and editors and flying among our Lilly Pulitzer print wrap seaplane from New York to Nantucket, the non-comp mailer that’s going to be attempting to support an extended summer selling season. These are all things that take up on the resort seek messaging that was broadcast so broadly and so loudly by the Target collaborations. So the theme to all of this is really reinforcing as clearly as we can Lilly's positioning as a resort seek brand. The original American resort seek brand and that’s what we stand for is in terms of the cost these things are not especially expensive for us I mean they fit well within the marketing budget. And combined with the great distribution that we have including our own stores the eCommerce site, the mobile app and our great wholesale customers as well as the terrific product that we have and I can’t underscore enough how strong the products been. It’s a winning combination that grows comp store sales growth and overall growth rates that are well above what’s happening in the marketplace.
Pam Quintiliano: And the timing on that?
Thomas Chubb: Well all of that’s coming up within the next six or seven weeks and that doesn’t mean that’s the end of our marketing initiatives, those were just once that I wanted to highlight today a sort of things that are following on and continuing the messaging from the Target collaboration.
Pam Quintiliano: And then as far as the Target collaboration any learning on that one?
Thomas Chubb: Yes I think it’s interesting, because it’s hard to say what the best sellers were since everything sold out in about two hours I guess a best seller is something that is sold out in two minutes instead of 10 minutes or something that. So it’s a little hard to determine what were the best sellers everything sold well that you can certainly see that there were some product categories that we don’t typically offer that the consumer clearly had an appetite it’s up to us now to sip through, which of those really make sense to be that the priority opportunities for us to pursue and that still work and thinking that’s being done at this point.
Pam Quintiliano: Okay. And then as far as Mother’s Day, can you just talk about how Mother’s Day went in each division?
Thomas Chubb: Well it’s certainly within the results for the quarter and it was when you see the strength of our quarter I think it goes without saying that Mother’s Day was good for us. It’s and I think the most natural sort of holiday we have in that vein is really Father’s Day for Tommy Bahama where Father’s Day is sort of as Terry said in his remarks the go to brand for Father’s Day.
Pam Quintiliano: And have you seen more momentum on Tommy women’s for Mother’s Day than you have historically with the product improving?
Thomas Chubb: Doug, do you want to talk about this year's Mother’s Day event and just any difference - or highlights that you would call out.
Douglas Wood: Yes, it’s -- overall we had a good Mother’s Day and I think the great thing for us right now is that we actually have a Mother’s Day business, because five years ago I couldn’t have sat here and pointed to anything. But we do have a Mother’s Day business. We put out a mailer that and went out right in that April timeframe. We also do a loyalty program that actually kind of ignites both our eCommerce and our retail businesses. So in that time period we saw a lift in women and but it was hard to tell that’s right now is that we’re seeing it across not just sportswear or but swimwear, and footwear.
Thomas Chubb: Yes, and Pam on this I spoke obviously a minute ago about Mother’s Day being in our first quarter results. It’s in our second quarter to-date results, which have been obviously we’re not formally reporting on that. We've been pretty happy with what we’ve seen.
Pam Quintiliano: Understood and then just lastly, you guys have navigated so well with the port delays, but is there anything to speak of, were there any issues in this quarter I just couldn’t I didn’t knew so much about port delays any weather impact that you could call out that maybe things would have been a little bit better and then if you could just remind us any exposure in Texas that’s meaningful with what's been happening there recently?
Thomas Chubb: Yes, let me talk about the ports for a minute and Doug, can add to this if he wants to, but I’m going to comment on it first, because I want to brag about Doug and his team. For us the ports issue was really limited to Tommy Bahama. And Doug and particularly his operational team and his retail planning team and marketing team, which had supported the whole team out and Seattle just handled the port situation extraordinarily well. And, while it did create some issues for us the way they handled that we were able to get past those issues in the fourth quarter and early in the first quarter without them noticeably impacting our business. So they did a terrific job and at this point that’s all really ancient history for us. We know some other people had some lingering effects, but for us it’s sort of ancient history. Doug do you have anything to add.
Douglas Wood: Yes.
Thomas Chubb: But weather clearly impacted us a bit across all of our business, but obviously we had enough strength to overcome it. But if you are asking would it have been a little better if weather had been better I think it probably would have.
Pam Quintiliano: And your Texas has pulled you now you have if you restaurant like combo locations that how we need to think?
Douglas Wood: We did yeah but we have what we currently have one restaurant in Texas in the Woodlands outside of Houston and then our total store count in Texas that shows probably we got two Lilly and 10 Tommy stores in Texas including outlet stores altogether.
Pam Quintiliano: And this is really the last one, because I know I’m last one to ask question. So I apologize for taking a little bit of advantage. But Tommy just curious about Marie Jim any early reads you have there and how you’re felling about it. And online I don’t know if I missed it and you spoke about Lilly online, but is there anything Tommy just speak out?
Thomas Chubb: Well in the quarter Tommy’s as it’s been in most quarters for a long, long time with the Tommy and Lilly eCom has led the way really stores were good, but eCom is really good. And then as to Marie Jim there’s clearly a lot of excitement in the company about that and I'll let Doug maybe elaborate on that a little bit.
Douglas Wood: It’s more of as we really founded it into the first quarter, but I kind of say that the two brands couldn’t fit better together the Marie Jim and Tommy Bahama and they’re great organization to work with. And it’s fun to actually see it in a store our guest are responding to it and now that we have it online it’s working in both areas.
Pam Quintiliano: Excellent. Well thank so much. Best of luck.
Thomas Chubb: Okay, thanks a lot Pam.
Operator: And, that conclude today’s question-and answer session. I will now turn the call back to Mr. Tom Chubb for closing remarks.
Thomas Chubb: Okay thank again for your time this afternoon we’re obviously very excited about our first quarter results. And we got a lot of other things to be excited about here and we appreciate your interest and support. Thank you.
Operator: And, that does conclude today’s conference. We thank you for your participation. You may now disconnect.